Operator: Good afternoon, ladies and gentlemen, and welcome to the OTELO Bio Third Quarter twenty twenty five Earnings Conference Call. At this time, all participants are in a listen only mode. A question and answer session will follow the prepared remarks. As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Louisa Smith, speaking of Martin Group. Please go ahead.

Louisa Smith: Thank you, Kelvin, and good afternoon, everyone. Earlier today, TeleBio released financial results for the third quarter twenty twenty five. A copy of the press release is available on the company's website. Joining me on today's call are Tony Koblisch, Chief Executive Officer Jeff Blizzard, President and Roberto Cooca, chief operating officer. And chief financial officer. Before we begin, I'd like to remind you that during the conference call, the company may make projections and forward looking statements regarding future events. We encourage you to review the company's past and future filings with the SEC including, without limitation, the company's annual report on Form 10 ks and quarterly reports on Form 10 Q, which identify the specific risk factors that may cause actual results or events to differ materially from those described in these forward looking statements. These factors may include, without limitation, statements regarding product development and pipeline opportunities, product potential, the impact of various macroeconomic conditions, identified in our filings, like changes in surgical procedural volumes, the regulatory environment, sales and marketing strategies, capital resources, or operating performance. With that, I'll now turn the call over to Tony.

Tony Koblisch: Thank you, Louisa, and good afternoon. Thank you for joining TELA Bio's third quarter twenty twenty five earnings call. Q3 twenty twenty five marked another important step forward in TELA Bio as we continue to execute on expanding our commercial footprint

Tony Koblisch: improving our operating discipline and strengthening our patient centric culture. Reported revenue of $20,700,000 for the quarter, representing 9% growth over the prior year. Growth was fueled by stronger adoption across our existing customer base and augmented by the addition of new accounts. This reflects growing demand for our OVATEX reinforced tissue matrix and OVATEX PRS portfolios and contributions from our expanding commercial presence in Europe. International sales grew 9% over the over the prior period. Driven by increased traction in The UK and early progress from the commercial launch of the OviTex IHR in Europe. Over the last few months, we have placed deliberate focus on strengthening our operational foundation We invested in our sales organization from which we expect stronger commercial performance going forward. We continue to demonstrate financial prudence in our sales and marketing spends which improved as a percentage of revenue from 89.7% in Q1 to 83.5% in Q2 and further to 73.6% in Q3. Additionally, we have strengthened the capabilities and expertise of our Board provide valuable strategic insights through our next phase of growth. And finally, as announced this evening, we have reinforced our balance sheet to eliminate any concerns around financing and allow us to focus squarely on execution and growth. With these foundational elements now in place, we're poised to reaccelerate under under the right leadership and the right playbook. Before turning the call over to Jeff to review upgrades in the commercial organization, I'd like to point out some key highlights and milestones we reached in the third quarter that detail TELUS expanding presence in the soft tissue restoration market. As mentioned on our last call at the American Society of Plastic Surgeons, Plastic Surgery the Meeting, OviTex PRS was featured in three scientific abstract publications. These presentations contributed to a growing and meaningful body of clinical evidence Now more than 50 published or presented works on OVATEX, and 10 on OVATEX PRS. Representing over 1,100 patients in peer reviewed publications, and ongoing data collection more than 2,500 patients. I'm also pleased to share that two sites have now been activated and the first patient has been enrolled in our HIDAL study evaluating clinical hiatal hernia outcomes using OviTex or ECHO. Together, these milestones reflect the continued expansion of our real world data, which strengthens surgeons' confidence and support broader adoption and reinforces the clinical validity of our technology. In the third quarter, we achieved a significant commercial milestone to 100,000 implantations of OVATEX and OVATEX PRS. Combined globally. This achievement further underscores our growing impact and continued progress across the soft tissue repair and reconstruction market. We continue to expand our market presence both in The U. S. And abroad. In Europe, we advanced awareness through the targeted surgeon engagement including a July cadaver lab with 30 key surgeons. And made meaningful progress with The UK NH value based procurement initiative securing NHS finance sign off in September. In The U. S, we further strengthened our national reach through new and expanded contracts that made our portfolio available across a diverse range of health systems. Some of the nation's largest and most innovative networks to community hospitals, broadening our market access in quarter by an additional eight thirty five hospitals. We recently announced two additions to our Board of Directors, welcoming Betty Jo Rocio and Bill Plavonic. Betty Jo will provide critical insights into our market access strategy given her decades of experience in advancing clinical excellence and supply chain optimization at large healthcare systems and grew group purchasing organizations. We are also fortunate to have Bill on board. His experience as an investor combined with his direct experience running publicly held med tech companies, will help drive long term shareholder value and enhance communication with our investors. Would now like to turn the call over to Jeff who transitioned from our Board to serve as President in June. Since that time, has been instrumental in refining our commercial strategy, and building a more patient and results focused culture within our sales organization. Jeff brings the exact combination of operational expertise, and strategic vision needed for this moment. He will provide commentary on our third quarter, our optimism for the future. Jeff? Thanks, Tony. I'm pleased to report the important progress we've made in strengthening our commercial organization executing against the strategic priorities that we outlined our last earnings call. While our Q3 results came in lower than we hoped, we still achieved a new global quarterly revenue record of 20,700,000.0 which marks TELUS' third consecutive quarter of sequential growth in 2025.

Tony Koblisch: This momentum reflects the durability of demand for our product lineup

Jeff Blizzard: of soft tissue repair solutions. Q3 was a quarter dedicated to building a stronger foundation and we've now positioned Tele for sustainable long term growth. Over the last three months, we revamped our commercial field leadership, We recruited and we recruited some of the top medical device representatives across The US. These individuals bring strategic business acumen, deep clinical expertise, and a shared commitment to our mission of improving patient outcomes. With these hires in place, we closed the quarter having reached our 2025 budgeted commercial headcount target of 76 territory managers. Another key highlight in was our continued alignment with our strategic partner, Advanced Medical Solutions, and their Liquefix fixation technology. Expanded its clinical support team in the field They worked side by side with our representatives to drive patient identification, utilization, surgeon adoption through multiple evaluations. Their investment, combined with our commercial focus, led to our best revenue quarter ever with Liquefix, highlighted by 126% growth year over year with the user base. This reinforces the value of our partnership and the opportunity ahead. As we enter Q4 and look ahead to 2026, I'm increasingly confident in the strength and capability of the team that we're building. Since joining Tel in June, we've been committed to equipping our commercial organization with the best tools resources, incentives, and compensation structures needed to fully unlock our team's potential.

Tony Koblisch: At the same time,

Jeff Blizzard: the investments that we're making in medical education market access and data analytics are expanding our competitive advantage positioning us to become a market leader in hernia and plastic and reconstructive surgery. We now have the right leadership in place We are attracting high quality talent and we are winning by being present at the bedside. Supporting our surgeons to help them drive, optimal clinical outcomes for their patients. With that, I'd like to turn the call over to Roberto to review our financial results. Thanks, Jeff. Revenue for the 2025 increased 9% year over year to $20,700,000 with revenue from OviTex growing 6% and 12% from the prior year period. OviTex unit sales grew 22% for the quarter while PRS unit sales grew 3% for the quarter. Gross margin was 68% for the 2025 and 2024. Gross profit was $14,000,000 in the 2025, compared to $12,900,000 in the same period in 2024. Sales and marketing expenses were $15,200,000 in the third quarter, compared to $16,500,000 for the prior year period. This decrease was mainly due to lower compensation costs consulting and travel expenses, which were offset by higher commission expense on an increased revenue base. General and administrative expenses were $3,900,000 for third quarter compared to $3,700,000 in the prior year period. R and D expenses for the third quarter were $2,300,000 compared to $2,100,000 in the prior year period. Total operating expenses were $21,500,000 in the third quarter compared to $22,200,000 in the prior year period and $23,200,000 in Q2 twenty twenty five. Loss from operations was $7,600,000 in the third quarter compared to $9,400,000 in the prior year period. Net loss was $8,600,000 in the third quarter compared to $10,400,000 in the prior year period. We ended the third quarter with $29,700,000 in cash and cash equivalents reflecting cash consumption of $5,700,000 in the quarter. For the reasons that Jeff just outlined, we now expect revenue for the full year 2025 to grow at least 16% over 2024. While we don't typically provide color on the coming year this early, since we are in the middle of budgeting for 2026, we did want to provide investors with directional expectations for next year revenues. Specifically, we are confident that revenue in full year 2026 will grow at least 15% from 2025. After we've completed our budget process, we will update our expectations and provide a appropriate additional information at the latest on our 4Q twenty twenty five earnings call. And finally, me touch on some enhancements to our balance sheet that we made today. First, this afternoon, we announced the refinancing and upsizing of our debt facility from $40,000,000 to $60,000,000 A second tranche of $10,000,000 is available in the future on attainment of trailing twelve month revenues of $100,000,000 Second, we also completed a $13,000,000 equity offering. Between the two transactions, we will add a approximately $26,000,000 in incremental net cash to our balance sheet and have access to an additional $10,000,000 debt tranche in the future. This is a significant bolstering of our financial resources that we believe provides us with more than enough financial firepower to reach profitability. With that, I'll hand the call back to Tony for closing remarks. All right. Thank you, Roberto. Before we move to questions, wanted to share another patient case that exemplifies the transformative impact of our OviTex platform and our mission to move the soft tissue repair market beyond traditional synthetic mesh. A recently published case report underscores the real world impact of OVATEK's reinforced tissue matrix in a challenging abdominal wall reconstruction scenario. A 48 year old man suffering from severe severe pancreatitis and abdominal compartment syndrome was initially treated using a standard of care temporary abdominal closure device. However, he failed to decompress which necessitated multiple returns to the OR over an eight week period. At that time, his surgical team believed that without attempting a different intervention, the patient would not recover. They then introduced Ophadex in combination with negative pressure therapy to support a staged abdominal closure and the patient decompressed in a period of one to two weeks. The reinforced tissue matrix demonstrated early tissue integration and remodeling with minimal inflammation. At forty four weeks, full abdominal wall reconstruction was successfully completed with remarkable functional and cosmetic results. The patient is now four years post reconstruction and leading an active lifestyle with no evidence of recurrence. This case exemplifies how OVATEX help achieve life changing outcomes for high risk patients. Reinforcing the value of our technology and addressing even the most complex soft tissue challenges. Stories like this illustrate exactly why we do what we do.

Tony Koblisch: Board. Who bring deep expertise in clinical and GPO access, corporate governance, and street facing communication support for the next phase of our growth. Across the organization, we have instilled a culture of operational efficiency that is already showing evidence of its impact and improvements to OpEx leverage and cash burn reduction And finally, we have strengthened our balance sheet through a comprehensive financing initiative that will eliminate uncertainty about our runway and allow us to focus purely on delivering consistent execution, and capturing growth opportunities. With these foundational elements in place, we are positioned to move forward and drive results. I'd like to thank the entire TeleBio team for the incredible dedication, and passion they bring every day to drive our mission. Also want to recognize our surgeon and hospital partners and most importantly the patients who are at the center of everything we do, who inspire us to keep redefining what's possible soft tissue repair and reconstruction. Is a pivotal time for our company and our industry and I'm energized by what we're building together. With that, I'll now now ask Kelvin to open the line for your questions. Ladies and gentlemen, we will now begin the question and answer session. One moment please for your first question.

Louisa Smith: First question comes from the line of Caitlin Roberts of Canaccord Genuity. Please go ahead.

Caitlin Roberts: Hey. Thanks for taking the questions. You know, maybe just to start through, the rationale for the debt refinancing and the equity raise at this time. I mean, comfortable do you guys feel now with your cash runway?

Tony Koblisch: Thanks for the question, Caitlin. We feel super comfortable about our cash runway. The rationale for the debt refinancing was that the previous facility would have begun amortizing in June 2026. And so we wanted to get ahead of that and replace it and if possible upsize it. And as part of that process, we got some inbound requests from investors who wanted to support the company. And so we provided some access to a small side equity raise, which we completed today as well. So between the two, you know, on top of the $29,700,000, that we ended the quarter with, we're adding about $26,000,000 in net capital. And we believe that, with the addition of the potential $10,000,000 tranche on hitting our revenue target is much more than enough to get us to profitability.

Caitlin Roberts: Got it. And then just talk through the lower guidance for 2025 and then also the early twenty twenty six growth expectations and what you've really baked into the 15% for next year?

Tony Koblisch: Sure. So let me start with next year. As I mentioned in the prepared remarks, we don't usually provide color on the coming year this early since we're really in the middle of the the budgeting process. But we understood that with the resetting of the fourth quarter expectations, we need to provide some base for investors. So we took a look at our expectations for additional hiring of reps and the pacing of that, Built in some cushion in case things go quite the way we're expecting to, and felt confident that 15% growth number for the full year of 2025 is something attainable for us. The goal is to improve on that, but that's what the budgeting process, the internal budgeting process will help us understand.

Caitlin Roberts: Got it. Thanks so much for taking the questions.

Louisa Smith: Thanks, Caitlin. Your next question comes from the line of Frank Takkinen of Lake Street Capital Markets.

Tony Koblisch: Great. Thanks for taking the questions. Congrats on all the progress and congrats on the financing. Was hoping to start with maybe some more details around the Salesforce Happy to hear you guys hit, I think, your hiring goal already at the 76 territory managers.

Roberto Cooca: I think, Roberto, you were touching on some hiring next year, but maybe going a little bit deeper into kind of Salesforce hiring for next year would be helpful context. Thanks.

Louisa Smith: Jeff? Thank you. And

Tony Koblisch: I appreciate the question. So as we were budgeted for 76, we are continuing to fill our pipeline. Our time to hire has shortened. Our goal is that we'll be at 90 plus in Q1.

Roberto Cooca: We've opened up our recruiting philosophies, our criteria,

Tony Koblisch: Our national recruiters now know the candidates we're looking for in top tier medical device representation. We're looking for sound clinical adaptability. As well as

Roberto Cooca: really the

Tony Koblisch: the strategic thinking that we ask our territory managers to have. This time to hire has been shortened in some markets to one day.

Roberto Cooca: We put a full panel interview together

Tony Koblisch: get candidates in, and by day's end, we actually have an offer and we have candidates signed by close of day. This has found us some of the best people, to help support our organization to grow. So I our priority is is to constantly, add and continue to have a bench between our account specialist team That's in place now. We promoted one last quarter. To get to the 76 total. And we will constantly focus on that team as part of our bench. Frank, what gives us confidence here is that even if you look at the third quarter, and you assess the reps, the cohort of reps that have been with us for a minimum of six months, you know, that group of 50, 52 reps performed very well in Q3 and and hit virtually 100% of what their targets and quotas are. So, you know, where we fell short was in those regions that were struggling to hire, those positions in leadership roles have been upgraded already. We have dynamite new leaders in place as as Jeff discussed already. And that's really propelled us forward to fill in that 76 You recall our plan was to have that 76 on board by around Q2. So now that we've got this momentum, we've got leadership that's solidified across all of our selling regions, you know, it makes sense to continue on and drive towards that 90 to 95, low nineties for next year. And that cohort of fifty fifty two reps is driving about a million dollars on an annualized basis. Even with criteria of being on board for six months. So the faster that we can get a bigger cohort of reps on board, the faster we can drive them to that million dollar annualized target. It allows us to have confidence in driving growth for next year. That probably circles back a little bit to Caitlin's question as well.

Roberto Cooca: Got it. That's helpful. I really appreciate the color. And then maybe just one more on the breakeven profile in light of some of these investments as well as the financing. Roberto, maybe it would help to kinda refresh how you guys are thinking about breakeven. I think you were previously in that kind of high 20,000,000 per quarter to support that. Maybe any color on that would be helpful. And then I'll hop back in queue. Thanks, guys.

Tony Koblisch: Sure. Thanks, Frank. So, yes, we we continue to think the high twenties is the place where we can achieve breakeven. You know, the goal is to keep OpEx reasonably flattish, notwithstanding the growth in the sales force. Of the ways we expect to do that is by drawing for that growth from our account specialist ranks. Such that there's not as much of an incremental expense for the additional TM. But we'll be revising all of our expenses and Jeff and his team have been digging in on pretty much every dollar that supports the sales force and the selling process and thinking how we can be more efficient with those dollars. Yeah. Frank, there's been a massive improvement in sales force efficiency down from you know, almost 90% of sales to a little over 70% of sales just in the three quarters of this year. So we expect that efficiency to to continue as well.

Louisa Smith: Your next question comes from the line of Michael Sarcone of Jefferies. Please go ahead.

Tony Koblisch: Hey, good afternoon, and thanks for taking the questions. Guess, could

Louisa Smith: provide a little more color if

Rob Brown: you know, you're talking about roughly flattish growth in twenty six or consistent growth in 26 verse verse 25. But you're also talking about increased productivity for reps. So I guess you talk about kind of the the moving pieces there as we're looking out to 26?

Tony Koblisch: Yeah. Well, I think it it it it it's all dependent on having the heads filled, That's what's vexed us this year and last year. So I think we're giving ourselves some room to operate to make sure that we get the right talent in the right seat.

Rob Brown: At the right time.

Tony Koblisch: And like Roberto said, you know, we will reevaluate and, and have an update for you on all things related to '26 you know, on our next earnings call.

Rob Brown: Got it. Thanks, Tony. I guess, follow-up on the Salesforce. You know, you've implemented some you know, enhanced training programs, and you're expecting a faster ramp productivity. Can you give us any update on on what you're seeing for newer classes of of reps in terms of kind of the ramp curve versus, versus older classes?

Tony Koblisch: Yeah. Sure, Mike. I'm gonna introduce a new player here in the q and a. Jeff's number two man, Jim Hagen, has joined us for some q and a, and this is a good opportunity for him to, for you to get to know him.

Jim Hagen: Mike.

Roberto Cooca: So your question on what are we doing with recruiting class, the enhanced training program, and time to competency. Step one, is we as Jeff talked about in his opening remarks, we refined the hiring profile

Tony Koblisch: with our recruiters.

Rob Brown: And so we're actually getting candidates more in the mold of what we want to drive our growth faster on the top line. Our training team has taken them in, has

Louisa Smith: built

Rob Brown: a support network around them to drive them deeper clinically. And I think part of the early proof point we had for our latest class coming through we test everybody,

Roberto Cooca: ahead of coming in person for for training. Collectively, that group, which really represent the first wave of new hires under our new

Louisa Smith: profile.

Rob Brown: Had the all time highest scores. In our classes. I think the next wave of recruits coming in are just as impressive to us. I think the infrastructure we're putting in place around our field team,

Jeff Blizzard: the number of people we're bringing in with high caliber, gives us confidence that next year is set to that that minimum growth target that Roberto referenced.

Rob Brown: Got it. Thanks, Jeff. Helpful.

Louisa Smith: Your next question comes from the line of Matthew O'Brien of Piper Sandler. Please go ahead.

Jim Hagen: Hi. This is Samantha on for Matt. Thank you for taking our question. I guess, first, we wanted to touch on guidance as well, but more of a the 2025 focus. You know, it kind of implies a minimal, maybe a little upside sequentially in Q4, which I think you've talked about historically has been a stronger sequential growth quarter. So I guess, could you just talk a little bit about what's baked into Q4 specifically?

Tony Koblisch: Sure. So

Jeff Blizzard: you know, we we said that we expect that growth will be at least 16% year over year.

Rob Brown: We are

Jeff Blizzard: you know, Jeff and Jim have been getting up to speed on the Salesforce and, you know, moving them forward, getting some efficiencies in place. There's some potential upside from that particularly with the hiring of the reps up to seventy six. Which finally took place. And some of the hiring for next year is going to be taking place this year to ourselves in place for, a strong next year. So that also can be an additional source source of growth. So, you know, there has been a little bit of turnover in the sales force and so this accommodates for that as well. But we expect that, you know, feel comfortable that we'll be hitting that 16% And as I said, there is some room for upside from that number. I think we're giving ourselves a little bit of room. Right? In Q3, there was a heck of a lot of

Tony Koblisch: strengthening and up upgrade work done. Within the commercial leadership team. At the regional director level and and those types of players, we we wound up upgrading three or four of those positions. So, you know, I'm not gonna say that's disruption because it's improvement, but we definitely have to make sure that those guys are allowed to get their people in place That's where a lot of the rep shortfall in terms of hiring did reside in those weaker regions which have been upgraded. We're just giving ourselves some room to make sure that we get the right people in place and and and, you know, that we continue to transition towards a stronger and stronger organization. Which our main focus being around starting '26 with the best possible team. I'll, I'll close that question around the sales team sentiment. This is the most excited I've seen the commercial organization. That touches all the right We have an incentive, for quarter close, in Q4. buttons for not only for them and their individual franchises, but also for the physicians, programs, the patients they serve.

Jeff Blizzard: We've put programs that

Rob Brown: really near the business, and where we're headed

Jeff Blizzard: in optimizing outcomes, making that key focus So for us, selfishly, this is the most excited I've I've been as a leader of the sales organization to come to to year end. And we'll

Tony Koblisch: hopefully have a strong Q4 announcement.

Jeff Blizzard: That reflects really the energy and pace that we're going

Tony Koblisch: to attack the business.

Jim Hagen: That was perfect. Thank you.

Louisa Smith: There are no further questions at this time. And with that, I will turn the call to Anthony Koblish, CEO, for closing remarks. Please go ahead.

Tony Koblisch: All right. Thank you, Kelvin. Really appreciate the efforts of our team. I wanna thank them for jumping in and embracing this patient centric culture.

Roberto Cooca: I see the difference, it's working.

Tony Koblisch: And I wanna thank all of our supporters, both in the and in the investor community. And all those who have an interest in seeing us succeed and bringing next generation technologies that are woefully needed to this soft tissue reconstruction space. So with that, thank you, and we'll see you next time.

Louisa Smith: Ladies and gentlemen, this concludes today's call. We thank you for participating. You may now disconnect your lines.